Richie Boucher: Good morning everyone and you’re welcome to our full year results for the 12 months to 31st of December, 2014. I want to thank you for joining us here in Dublin and so those obviously are coming in call by webcast. I'm going to give a short presentation after which our Andrew Keating our CFO will provide a more detailed review of our performance. I will then summarize our products as we look forward and then we will move on questions and answers. So last year we reiterated our priorities for 2014 and beyond that. We emphasize the three key areas, customer's profitability and capital. Over the past 12 months we have made very substantial progress against each of these priorities. Our primary focus has been on continuing to develop our relationships with our existing and with new customers, leveraging our strong franchises in Ireland and in the UK. We have made real progress here. We increased our new lending by more than 50% to €10 billion and we achieved strong performances across each of our franchises. We were the largest lender to the Irish economy during 2014 where through our efforts and focus we continue to support and benefit from the ongoing economic recovery in Ireland. In the UK we have more than doubled our new mortgage lending reflecting the success of our investments and our capabilities and in our distribution arrangements. We have also continued to actively develop provide and implement appropriate solutions for customers and financial difficulty and to improve our asset quality. The actions we have taken combined with improvements in the Irish and UK economies and collateral values have enabled us to reduce defaulted loans to 14.3 billion. This represents a €4 billion deduction from peak and the improvements are coming across all of the asset categories. My colleagues and I are clearly focused on growing our profitability. We also have made substantial progress yet. We’re reporting an underlying profit before tax of €921 million in 2014. This represents an improvement of €1.5 billion compared to last year. Notwithstanding further reductions in the official interest rates we improved our net interest margin to 2.22% in Q4 reflecting our disciplined approach to pricing. We have also being focused on driving strong organic capital generation and effectively managing the evolving regulatory environment. We generated capital at an accelerated pace during 2014 and as a result we increased our transitional core equity Tier 1 ratio to 14.8%. The group also passed the ECB's comprehensive assessment, the substantial capital above us. Our fully loaded CET ratio was 9.3% in December 2014. The accelerated pace of our capital built has ensured that we are firmly on track to derecognize the 2009 preference shares in 2016. That’s between January and July. We improved our underlying profit before tax by 1.5 billion; we increased our total income by 328 million to almost $3 billion reflecting growth in net interest income which is 11% higher than last year and increases in other income with each of our divisions contributing to this growth and of course lower ELG fees as anticipated. In parallel we have maintained tight control of our cost base while also continuing to invest in our people, our businesses and our infrastructure. Our customer loan impairment charges are €1.1 billion lower than last year. The reduction reflects the effectiveness of the actions we’re taking, the improving economic environment and rising collateral values. The reduction also reflects a 280 million provision reversal on our Republic of Ireland mortgage book. Like I said earlier entitled our underlying PVT was €920 million. I would note that this includes additional gains of circa €500 million and Andrew is going to give you more detail on those later. Turning to our balance sheet, overall our customer loans were €821 million at December 2014. That represents a reduction of €2.4 billion of the previous 12 months with redemptions exceeding new lending. We grew new lending more than 50% to €10 billion in 2014 with strong performances across all of our franchises. We’re confident of further new lending growth in 2015. In Ireland we see further recovery in credit amount across our portfolios as the economy grows and confident returns. We’re also focused on capitalizing on further refinancing opportunities from other financial institutions on both the customer specific basis and through acquiring loan portfolios which confirm to our risk appetitive at prices which are margin accretive and are above our hurdle rates of return for the asset classes. We have had a positive start in 2015 including the announced acquisitions of performing loan books from Danske and IRBC. We have the appetitive, capability and track record to further capitalize on the opportunities which are arising. In the UK we have been continuing to invest to enhance our capability and our distribution and we expect further significant growth in our new mortgage business volumes this year. Turning to defaulted loans, we reduced these by €2.8 billion in 2014 with a particularly strong performance in the last quarter of the year. As a result of our improving financial performance we have increased our tangible net asset value per share by circa 13% in 2014 to €0.22. The macroeconomic environment is favorable in both Ireland and the UK and the outlook remains positive. Ireland was the fastest growing economy in Europe in 2014 with momentum continuing, we expect the Irish economy to grow by about 4% in 2015. Three years ago the unemployment rate in Ireland exceeded 15%, unemployment continues to decline and the unemployment rate is forecasted to 10% in 2015. Commercial and residential property markets have also continued their recovery. We have about 45% of our assets in the UK that economy has performed well. GDP continues to grow with unemployment fallen. The residential property market in the UK remains underpinned by economic conditions, demographic and supply factors. Bank of Ireland is an integral part of the Irish economy. We have deep connections with customers, enterprises and communities across the country. I just want to give you a few examples. With business confidence returning we have approved over 50,000 new applications from business. Our SME customer's employee thousands of people all across Ireland. We have a strong position to growing every sector and provided over 50% of agri lending including approved funding for the purchase of over 24,000 acres of land by our farming customers. New [inaudible] in Ireland were up 30% in 2014, our motor finance business has long standing partnerships through which we finance more than 27,000 new cars. This business has maintained strong moment since 2015. Mortgage demand in Ireland has started to recover and in 2014 we supported over 11,000 customers in their efforts to buy new home. Putting all that together we approved almost €12 billion of new lending during 2014 in Ireland of which €5.7 billion was drawn down. This makes us the largest lender to the Irish economy. We will continue to proactively support and benefit from Irish economic growth. We are the leading bank in Ireland, our Irish businesses continue to form in-line with our expectations during 2014 and we’re well-positioned for further growth. I would like to draw your attention to some highlights here. We continue to provide one out of every three new mortgage in Ireland and our mortgage lending was up more than 40% year-on-year. Our life business, new items has had a strong 12 months in 2014 we’re the only bank assurance [ph] in Ireland and we’re well-positioned to benefit from favorable demographic trends and increasing customer capacity and desire for our range of profits as confidence returns. We continue to be the number one bank for progressive businesses in Ireland providing over 50% of new lending in 2014 and that’s across all sectors of the economy. We also continue to be Ireland's number one corporate bank for domestic corporates and for multi-nationals investing in Ireland. In summary with strong positions in consumer, business, corporate and life insurance we have the most comprehensive Irish banking franchise. This promotes us to [inaudible] benefit from increasing activities in all areas of the Irish economy. Separately our international business provides further attractive opportunities for focused growth chosen economies and sectors outside of Ireland. In the UK through our partnership with the post office, we’re one of the leading challenger consumer banking franchises. A key focus for the UK in 2014 was to significantly grow our new mortgage lending and we made a number of investments to achieve this. We invested earlier in our capacity and capabilities to be well-prepared for the introduction of the mortgage market review at the beginning of 2014. We continue to work closely with the post office and have achieved significant traction through the dedicated mortgage specialist based in the post office branches and with the support of the post office we launched number of additional distribution partnerships including with legal and general from June 2014. This is an important development for our UK business and is already delivering encouraging business flows. Our initiatives enabled us to double our new lending in UK mortgages in 2014, this also gives us confidence that we can achieve further significant growth in 2015. Our international acquisition finance business has also performed well and our new lending in that business exceeded redemptions in the period. Thanks I would like to turn over now to Andrew who will take us through the financial results.
Andrew Keating: So thank you, Richie. Good morning everyone. I'm looking forward to updating you on our strong performance and our continuing momentum. In 2014 we delivered an underlying profit of €921 million. This represents an improvement of almost €1.5 billion on the prior period. We increased our total income by over €300 million and this now amounts to about €3 billion. We grew our net interest income reflecting a further substantial and sustainable increase in our net interest margin. In addition, our other income amounted to more than €650 million. Our ELG fees reduced further and they will be effectively eliminated by the end of this calendar year. We improved our cost income ratio to 55% and that compares with 60% in the prior period. And we reduced our impairment charges from €1.7 billion in 2013 to about €500 million this past year. This reflects our improved asset quality across all of our books and it reflects the provision reversal on Irish mortgages of €280 million. In addition to the strong business performance our results include additional gains amounting to €500 million relating to provision reversals, the sale of sovereign bonds and other assets. Such gains arise in the normal course of business, but they may not reoccur at similar levels future reporting periods. At a divisional level, all of our divisions are now profitable. I will now provide more detail on the key components of our income statement, starting with our net interest income which amounted to €2.4 billion in 2014, that’s an increase of 11% or €225 million. It reflects the growth in our net interest margin partly offset by a reduction in our interest earning assets. We have had a substantial and sustainable improvement in our net interest margin. In the fourth quarter our name was 2.22%, and that compares with a name of 2.03% in late 2013. The improvement in our margin reflects the actions we have taken to further reduce our deposit and wholesale funding costs and the positive impact of new lending at attractive margins. From here we expect the inventory grow further, albeit at a more modest pace than in 2014. Our new customer lending was €10 billion last year, that’s an improvement of more than 50%. Bank of Ireland was the largest lender to the Irish economy in 2014, it reflects the strengths of our brand and our franchises and the quality of our distribution platforms. In addition, we’re well positioned to support customers who are refinancing from other institutions. Our Irish mortgage lending increased over 40% last year, our SME lending was up 20% and we have strong positive momentum in our corporate businesses. In the UK, we more than doubled our new mortgage lending and we’re continuing to invest in this market to further strengthen our distribution platforms. Group redemptions amounted to €40 billion, of more than €3 billion relates to the positive cash flow effects associated with the work we’re doing to reduce our level of defaulted loans. The positive impacts from the production in our low yielding Irish tracker book together with the ongoing run down of our non-core books in Great Britain. Looking forward, we expect to grow new lending in 2015. We have attractive opportunities for profitable growth both here in Ireland and in the UK. In addition, loan book acquisitions such as the IBRC and Danske transactions offer further avenues for further growth. Turning now to operating expenses, we continue to maintain tight control over all of our costs, notwithstanding the strength of sterling we reduced our cost income ratio to 55%. Overall, staff costs including pensions were broadly in-line with last year. Other costs increased in 2014 reflecting our continuing investment in customer acquisition in Ireland and in the UK together with our investments in technology and digital. New regulatory requirements, particularly the deposit guarantee and resolution funds will impact our costs. Looking forward we will continue to maintain our tight cost control over all of our costs. Moving now to asset quality, we have significantly reduced our level of defaulted loans and they were down €2.8 billion last year. Since their peak in June of 2013 we have reduced the level of defaulted loans by €4 billion that’s 22%, we’ve reduced our impairment charges by €1.1 billion last year when compared with 2013 and those reductions are across each of our asset categories. In setting our year-end provision levels we have regard to a range of factors including the performance of our portfolios, the improvements in the macroeconomic environment and outlook together with the increase in collateral values. Our coverage ratio at the year-end was 52%. Excluding the positive impact of the Irish mortgage provision reversal impairment charges failed during 2014 to 90 basis points, that's about half the level what they were in 2013. And as we look forward into 2015 and beyond, we expect that charge to reduce further Turning now specifically to Irish mortgages, we’ve made further substantial progress here in 2014. In terms of owner-occupied mortgages defaulted loans reduced by €400 million, that's 18% in the last twelve months. An [inaudible] level continue to be at a level that is half of the rest of the industry, we have had similar positive trends in our [inaudible] book and these trends continue into 2015. On mortgage provisions, at the year-end we updated our assessment of provision requirements and that resulted in a reduction in our assessed provisions of €280 million. We will continue to keep these provision levels under review at each feature reporting period. Looking at each of our portfolios, we have reduced defaulted loans across all asset categories. And looking forward while the pace of reduction may vary from period to period, we anticipate further reductions across all asset categories in 2015 and beyond. Turning now to funding and capital, we have a strong balance sheet with the capital and liquidity to support future growth. All of our liquidity ratios are robust, about 80% of our loans are funded by stable pools of customer deposits which are predominantly retail oriented. We further reduced our wholesale funding requirements. Last year we halfed [ph] the amount of monetary authority borrowing to about €4 billion and that includes €1.5 billion relating to the TLT RO [ph] in December. Turning to capital, during 2014 we increased our CET1 transitional ratio by 250 basis points. At December it was 14.8%. It reflects our strong operating performance reductions in this risk weighted assets consistent with the balance sheet, together with dividends received from our life assurance subsidiary. Looking forward, we continue to expect to maintain a buffer above CET1 ratio of 10%, taking account of the transition rules and our intention to derecognize the preferred shares in 2016. We also increased our fully loaded ratio. At December it was 9.3% and that excludes the preference shares. In addition, we strengthened our total capital ratio to 18.3% reflecting the improvement in our equity position together with the issue of our Tier 2 bond last June. In summary, our capital ratios are strong, we generated significant capital at an accelerated pace during 2014 and we’re on track to derecognize the preference shares next year. Putting it all together, 2014 was a strong year, our profit was over €900 million and all divisions were profitable. In 2015 we will built enough performance to further enhance our sustainable earnings. We’re growing our revenue by expanding our NIM and increasing the volume of new lending, we’re controlling our costs while continuing to invest for future growth and we’re continuing to reduce the level of impairment charges. These factors will ensure that we continue to further increase the level of our sustainable earnings. Thank you very much. I will now hand back to Richie.
Richie Boucher: Thanks. So our financial performance in 2014 combined with the work we have done in recent years gives us a very strong base to build on from here. I want to take this opportunity to thank my colleagues for their tremendous efforts which have allowed us to make further significant progress on our shared objectives during 2014. My colleagues and I must and will continue to maintain our focus and our energy as we strive to reward our investors for their support. We have a clear and consistent set of priorities for 2015 and beyond. Our customers continue be our main priority and we’re focused on continued to develop relationships with existing customers and to win new customers. We will also continue to work with customers in financial difficult to seek to provide them with appropriately and sustainable solutions. Our consistent structured approach in this area will allow us to make further progress on our defaulted loan volumes reducing them as we go forward. As Andrew has highlighted, our priority is to further grow our sustainable earnings. This will enable us to further strengthen our capital position. We’re prioritizing the capital that we’re generating towards facilitating the derecognition of the 2009 preference shares in 2016, thereafter our ambition is to progress to dividends. I believe we’re well-positioned to deliver attractive and sustainable returns for our shareholders. We are operating in the growing Irish and UK economies with the outlook continues to be favorable. We’ve strong retail and commercial franchise in these markets. We have the most comprehensive Irish franchise which is our daily position to support and benefit from recovering credit appetite. The market dynamics are also supportive and we have the opportunity to support customers who are refinancing and to purchase acceptable quality assets from other financial institutions who are adjusting their portfolios. Our international business provides diversification and further opportunities for profitable growth. In the UK our position as a leading challenger bank with the our partners at the post office and on our new distribution relationships will allow us to continue to grow our market share. Our resilient and professional people are motivated, focused and have a proven track record of deliver. The combination of these factors gives me the confidence that Bank of Ireland will continue to deliver. We’re confidence in the groups prospects and our ability to fulfill our duty to responsibly deliver attractive and sustainable returns to our shareholders. Thanks very much for your attention. I will now turn over to questions.
Operator:
Q - Eamonn Hughes: Eamonn Hughes from Goodbody. Maybe just two or three questions if that’s okay, if I can jump the gun a little. Maybe just in terms of the capital and the comments there about derecognition of the perhaps, could we kind of are you alluding more to earlier investments of six to seven months - and how soon afterwards possibly could you start to pay dividends. Secondly just in terms of maybe Andrew, the 280 million gross write-backs in the mortgage portfolio, is that equivalent to HPI move from 55 to 47, 48, can you give some color on that. And then finally just in terms of deposits, quite a significant move in Q4 versus even in Q3 from [inaudible] so is it possible to maybe give us proportionality or a bridge from sort of Q3 into Q4 to give us sort of thoughts on margin progression this year?
Richie Boucher: On the capital, so when we did the transaction in 2013 to complete the payment of the governments investment. We clearly said that we had negotiated with the Central Bank, derecognition and we also wanted the investors to look at some duration on the period of the investment. At that time we said it was before July, I think more recently we have talked about between January and July, 2016. Our capital growth and our performance has probably being slightly ahead of the expectations and the momentum of the business is strong. But certainly obviously it won't be before January and we have a process to go. We have a lot of confidence as where the business can go from here. We’re going to maintain a buffer about 10% and that’s give us some material buffer about the regulatory requirement but obviously we need to be sure about that. So that’s the kind of thinking we have as to what buffer we should have over our capital and clearly there is no ambition subject to the performance of the business, the investment opportunities we have in the business and the generation of excess capital that dividend capacity would arise thereafter. On the provision side, Andrew do you want to touch a bit?
Andrew Keating: Sure. Maybe just to give you a little bit more color in detail in the Irish mortgage provisions. So, we did reassess the provision levels at the year-end taking account of the risk profile of the book and the economy and the collateral values. We still felt it was important to maintain prudent coverage ratios, so you will see our coverage ratios have dropped from about 49% last year to about 46% today. You will recall that when we said our collective provisions we had the assumption of 55% and that was effectively a flat assumption and across the portfolio and that combined with the four sale discount meant we were effectively, our provisions were accommodating that the recovery values would accommodating full from peak values of about 60%. Today we have moved away from the 55% flat assumption. In making our provision assessment we have tried to make it responsive to see CSO index and to our experience. We have tried to account of the geographical location of the portfolios, i.e. whether in Dublin or outside of Dublin and also take in account of the nature of the loan whether it's an owner occupied loan or whether it's a [inaudible] loan. So previously our collective provisions accommodated a full of 60% recovery value set in our basis. Now the provisions accommodate of between 50% and 60% depending on the nature of the asset and depending on the location of the asset. Not a lot of detail set out in the preliminary statement I can give you reference of the pages of the 72 and 98 you can have a look at later and there is more detail in there in relation to that and sensitive etcetera. But overall our assessment is that it did lead to a release of €280 million at the year-end and obviously I think I said in my speech that we will continue to make those provisioning assumptions under review at each future days. The key thing from our perspective Eamonn is to focus on maximizing the cash recovery from the loan book, from the level of defaulted loans and continue to make the sort of progress that we have been making over the past couple of years in terms of dealing with those level of assets. Your third question I think related to net interest margin, as you say we have had that substantial increase in our net interest margin, we see that as a substantial increase in our net interest margin. In terms of Q3 to Q4 the move from 208 to 222 again consistent with what we have been seeing Eamonn, a significant driver of our net interest margin improvement has been the sustainable reduction in the cost of raw materials to the bank, the cost of our deposits and the cost of our wholesale funding. There has been a positive impact from new lending which we’re making at attractive margins and clearly from a mathematically perspective that takes a little bit longer to see through in the net interest margin. So as we look into 2015 we think the NIM will grow further from the 222 level but the pace of increase during 2015 will be more moderate than in 2014.
Unidentified Analyst: [Inaudible] just hoping you could elaborated a bit more on new lending versus amortization dynamics across portfolios, please and the prospect for loan book stability. And secondly, just if you could share your thoughts on how you see the progression of the total capital stack and funding strategies in light of evolving capital rules? Thanks.
Richie Boucher: Thanks Steven. So what we can - is on page 13 of the deck, so we saw mortgages in - ROI mortgages were up 40% so at 1.2 billion. And we have started the first two months of this year with continued strong volumes, and we would anticipate that our mortgage book will continue to grow in 2015. ROI SME that was up 20% on last year and again we’re seeing good momentum coming into the first two months of this year. ROI corporate was up a 100%, that one is a little bit harder to call because obviously it's this much more transaction specific, but there has been very good growth there. And UK mortgages, we’re up a 110%, so we doubled last year and we have a very strong momentum coming into this year. Acquisition finance, again slightly hard to make a prediction, but certainly it was up 50% of last year and again we have a very good pipeline of deals that we have agreed to underwrite for customers if they get the transaction. I think there will be obviously some currency impact which you need to bear in mind, but I think the very gratifying thing is that all of our divisions are seeing good growth and volumes good lending, the margins are very sustainable from our perspective and I think that’s it. Turning to the other side in the redemptions again I think and Andrew tried to pick up that, it's important to think beyond some of the shrinkage of the balance sheet. Some of that is very much in efforts we’re taking ourselves, [inaudible] non-performing or defaulted loans or customers redeeming and know that that was a feature of last year and we continue to work at the defaulted categories. ROI tracker redemptions, it is a continuing business relationship with customers but there are payments that are coming through, and we do have customers who are moving off in the [inaudible] portfolio interest only periods to an amortizing period, that’s a contract on both sides, if the customer is on a tracker they can move the amortization which was in the original contract. That works with us and works for the customer. If there is a desire to renegotiate the amortization schedule then we would look to request the customer to move on to one of our fixed rate offerings. And then we have the as an EU requirement we had to put our business banking book in Great Britain, we had to put that into run down and that means you don't really have an ongoing relationship with the customer. You can't be talking about new opportunities, etcetera and that that the pace of refinancing was quite strong in 2014. The book has come down to a lower-level, it is now roughly £1.9 billion and so it's impact is going to be less going forward. What we did see particularly in the second half of last year was the joys [ph] was reducing i.e. loan growth and pace of redemption slowing down. So again I think one of the big features about is the diversification, diversification as to where we see loan growth coming from and also diversification as to where repayments and redemptions are coming from. Obviously a very, very key feature of us.
Andrew Keating: Your second question, Steven related to the total capital stack and just to maybe talk to on a little bit on that, clearly over the past 12 months we have had significant development in terms of our total company so it's increased from about 14.1% to about 18.3% and that certainly positions us well in terms of dealing emerging regulatory requirements whether it's in the context of emerald more immediately or ultimately in the context of the TLAC rules that are emerging. Clearly the key capital action that we need to deal with over the next year and half so is in relation to the derecognition of the preferred shares and we referenced earlier that we’re on track to derecognize that in '16. Also of course the CoCo, which has expensive 10% coupon and which is obviously amortizing from a capital perspective that has a fixed maturity date in July of 2016 and so we will be positioning ourselves in respect of that also. So I think from our perspective the focus over the past year and the continuing focus of course is to continue to develop the common Equity Tier 1 ratio and looking at the fully loaded ratio exceeding the price that’s clearly at a 9.3% it's up 300 basis points in the last 12 months and we continue to focus on that to position us for the derecognition of the press [ph] and then in terms of filling out our total capital that 18.3% positions as well in that regard, and to comply with the requirements as we go forward are very manageable.
Operator: We will take our first question from David Lock with Deutsche Bank.
David Lock: Three questions for me please. First one on AFS gains, I know that you had quite a strong gain this year. I just wanted to know if you can quickly update us on the remaining reserve and then how we should feel go about that going forward clearly it's continuing moves in year or two. I was just wondering if you can give us some sensitivity around that. Second question, just on the mix of business, clearly when you set out your targets, I think it was back in 2011, the loan growth target is, you are clearly well below that at the moment but just wondered in terms of the mix of business going forward, what kind of split between the UK and Ireland do you see given particularly the LTI, LTV caps that are coming in for the Irish mortgages. Do you think the UK is going to grow to be a bigger part of your business going forward? And then thirdly just a follow-up to an earlier question, you say that you want to maintain a buffer of about 10% and can I just clarify is that above 10% on a fully loaded basis or on a transitional basis? Thank you.
Richie Boucher: I think just clarify that, obviously we are looking at our capital in a transitional basis but that is when we make that statement we’re recognizing we’re very clear and understand how the transitional work and the effective amortization of your DTA and pension deficit in that and it takes into consideration the fact that our plan is to derecognize the press in 2016. So it is transitional as a transition, David, as clear as I can be on that without confusing ourselves further. But when we make a statement like that we’re very conscious of the de recognition [inaudible] and the fact that the pension deficit and the DTAs would be amortizing from a capital point of view. I think on the business mix it's very much in the lines of what we thought, I think when we did what was an effective IPO of the company is 2011 we anticipated that it would be around about 55% of our assets would be in Ireland and around about 45% in the UK or rest of world primarily in the UK and there has been quite a lot happened but as it happens I think that store remains an appropriate mix for us. The new lending that we did and the new loans we did was a roughly 57% in Ireland and 43% in the UK. But I think you would anticipate that diversification remains very important provided that the diversification is in businesses which are sustainable from the funding point of view and capital point of view, margin accretive and we know what it is that we’re bringing to that particular market. In the UK we have very strong distribution arrangements we have, it's a very important feature and we invested in our capabilities and we invested in widening the distribution partnerships we have. So I think that that’s good for us. Leverage finance, we have been in this business over 20 years, we have been through a lot of cycles and it has been a very good business for us and our people are very well known in the markets they operate. We’re very identifiable part of that market and we think that there are good opportunities for us to continue to grow that business and then Ireland again it's a very diversified offering we have like from consumer, to business, to corporate and diversification business mix is important for us from both an opportunity point of view but a protection point of view. And on the AFS Andrew do you want to?
Andrew Keating: So just to pick up a number of the points David, on the AFS gains, we have set out some detail in the appendix slide number 44 for you as reference and so our total portfolio is just about just a little over €13 billion and as you say with the performance of the sovereign over the last 12 months or so you know that portfolio of bonds has increased in value. You can see that the AFS reserve at our balance sheet at the end of December is just about €600 million and that’s an increase of 100 million on the prior period. You just need to know as well though that during the course of 2014 we will have done some work to reconfigure our liquid asset portfolio and the reconfiguration of our liquid asset portfolio give rise to additional gains this year. In total the gains on the reconfiguration were about a 180 million but because those the reconfiguration of our liquid asset portfolio of course is an ongoing exercise, we have characterized about a 140 million of that as being additional are being of size to help of material size in this reporting period and to help people thinking about that going forward. So we’re characterizing about €40 million of that as being business as usual if you like. So overall the portfolio has increased in value, 200 million of that or a 180 million of that was reflected through our P&L and a 100 million of that is reflected in our balance sheet at the year-end. So that 600 million will accrete into our P&L over the next number of years. We will continue to replatform or configure our liquid asset portfolio and in the main preliminary statement you will see there is quite an amount of detail around the maturity of the bonds, the maturity of the reserve etcetera and obviously I'm happy to pick up with you if you’ve any further questions when you have a chance to review that.
David Lock: And just one very quick follow-up, going back to that 10% level. Should we read this as a regulatory requirement as 10% and you want to be at a buffer over that or is the regulatory requirement not 10%? Thank you.
Richie Boucher: There is a desire that we don’t give the exact figure, we have got the exact figure but we’re making it quite clear that 10% is a buffer over the regulatory requirement. We talk I think the material buffer.
Andrew Keating: Our management's target is to have a buffer over 10% and that will provide for a meaningful buffer above our regulatory requirements.
Operator: Our next question comes from Chris [inaudible] of Autonomous. Please go ahead.
Unidentified Analyst: I had a couple if I may if I look at slide 12 where you’ve given the breakdown between cost of funds and asset yields within your NIM for the second half. I was just wondering if you could give us the breakdown of the 222 for Q4, so we can get a sense of the relative benefits of the move in the asset yields versus cost of funds behind the quarterly move. And I had a couple more I don’t if I can give you them all.
Richie Boucher: Maybe we will take that one Chris, and Andrew do you want to?
Andrew Keating: Well the trajectory is as we have said out there on the slide, you can see it clearly the shape of the curves Chris and you can expect that and the line will have continued in its trajectory, the big feature of the improvement in our NIM over the past period has been the sustainable reduction of the cost of money and so in the Q4 our cost of raw materials, the blended cost of money to the bank everything from interest free current accounts to the 10% Tier 2 the blended cost of money will be below a 100 basis points and the asset yields which is affected of course by the margin but also by the official interest rates will be at or around the 3.14 level you see, it might be in a basis point or two of that.
Unidentified Analyst: And then on other operating income just thinking about potential headwinds going into next year. I was wondering if you could give us any comments on what you think you might have as the headwind from the interchange rules, couple of your peers talking about headwinds starting in 2015 as card providers phase in those rules ahead of legislation and also any quantification you can give us on the cost of the SRS and then my final question was on the UK, I was just wondering if you could update us on the size of your UK SVR book and give us any comments on what trends you’re seeing there and whether you think that could present a margin headwind as people seek to refinance given the low rates available in the UK market now. Thank you.
Andrew Keating: So on the other income Chris, we set out in slide 34 an analysis of our other income. What we tried to do recognizing that our other income has is impacted by a number of pluses and minuses types items we sort of set out quite a bit of detail there and also in the preliminary statement. I think within that context we have spoken before about the fact that we see us having a business income, an underlying platform of about €600 million. You see there the business income is 605 for 2014 and we think we will grow from there. In terms of the change rules around, interchange etcetera, I suppose we have been working with our customers over the past couple of years to introduce debit card facilities and a number of we’re seeing growth in our debit card as people migrate from credit card to debit card. From our perspective the rules are changing but when we look at the opportunities that we have and the investments we’re making in terms of the services that we have going forward, we will be looking to replace any impact from NIM change rules in our overall income and we continue to hold to that concept of a 600 million platform of other income from which to grow from and that’s based off business income as we said we always have pluses and minuses.
Richie Boucher: I think one of the points I would make is as a good diversity, our non-interest income, we would have bought a new fee arrangement in Ireland which wouldn’t have been fully reflected in 2014 and our new Ireland business is doing well. So there is good diversity in our non-interest income and we remain confident once we see growth in that.
Andrew Keating: Your second question was on the SRF, Chris, THE €55 billion fund, obviously the rules are still being kind of settled in relation to that and the deposit guarantee etcetera and as we’re flagging that impact this morning just to ensure that people have reflected in their models etcetera. We’re probably looking at about a level of €40 million to €50 million, so broadly equivalent to the ELG fee that we had in 2014. So hopefully that will give you sort of some sense of what we’re thinking about in terms of cost of that.
Richie Boucher: I think our UK SVR book I think it's around about 40% under?
Andrew Keating: It's about 40% of our total, yes, so the total book is €23 billion so it's about 40% of that.
Richie Boucher: And I think what we are doing Chris, is like we have done a lot of repricing actions back in 2013, we think they have largely settled and we’re writing the new business at relatively attractive margins for us. So I think you’re probably absolutely right I think our book is probably going to perform, that is for our book perform broadly aligned with the market probably slightly better than the market.
Andrew Keating: I think I might have given you the euro number, Chris my apologies, it's £20, €25.
Unidentified Analyst: Okay so when you say you expect in-line in the market, would you expect that book to come down overtime because I understand that you, this opportunity gives you a decent chance to expand the book but front book margins in the UK probably I would guess around 130 to 140 basis points but the spread on the SVR book to be north of 300 I would imagine. I don’t know exactly how you quantify that spread internally but it feels like with 10 year mortgages available at 3.5% some of those customers may look to refinance [inaudible] which I think it's around 4.6?
Andrew Keating: Yes people who have reverted on to the SVR is about 4.5% in the UK, yes. So I think colleagues who are working with us, business are focused on the retention strategies, they are obviously focused in terms of the opportunity for new lending and the impact of the turnover in that portfolio is we have taken into account in reflecting on the net interest margin the guidance that we have given to you this morning Chris.
Richie Boucher: We have made an assumption that if the book was to come down, it would come down to the market, we have made an assumption about our new business volumes and new business growth and we still believe that we will see asset margins increasing.
Unidentified Analyst: My question is on defaulted loans they seem to have come down quite substantially since mid-year and even since year September update and look at on page 18 about half of that seems to be on the property and construction books, so I'm just wondering how much is due to restructuring activity and how much is due to improved macro environment collateral values etcetera and so related to that on the ROI mortgage book, the problem of very late stage of arrears of more than 720 days has had a lot of attention at industry level and wanted to know what the banks experienced with those kind of arrears and how they are being tackled and how quickly you would expect that problem to resolve or whether a room will remain for many years to come?
Richie Boucher: If I go back to deal with that one first. Our owner occupy, because we obviously have different strategies but in the owner occupy the two year plus for us is about 2800 properties it's about 3500 accounts but about 2800 properties and what we have seen is our 720 plus added for the last quarter of last year and our two year plus like a general arrears is probably even lower than half of the industry average and like we have been doing with those books, generally I think we have continued with the restructurings, work with the resolutions and so I think it's a very difficult situation Fiona, but I think both relatively and absolutely we’re making good progress and obviously we have different strategies we had 1100 receivers appointed and those may stay on the books as defaulted till the receiver decides whether they are going to sell the property or keep taking the rental income and so that’s again a very focused strategy for that part of the book. Turning to the progress we made against the defaulted loans, I mean the significant portion as we set out is real estate and about 80% 90% of the land in development is construction which is now very small proportion and very well covered as you can see is in Ireland and about 40% of the CRE defaulted is outside Ireland and we have different strategies for each of those portfolio. We would look to sell portfolios, if it arises we sold just going back to the mortgage we sold a large portfolio about late last year and we would sometimes sell out where we’re part of a group of banks. But our general philosophy is to run - is to manage the defaulted loans ourselves ultimately what matters most to us is the cash recovery and the maximize the cash recovery and we buy loans, we sell loans we are very conscious of the IRRs that people are looking at and they want to buy [inaudible] and we take a decision as to whether or not we think we can do better than that. And it was a very strong progress last year and 2.8 billion, 3 billion in constant currency basis and I think it will be probably a little bit optimistic at that stage to say you can exactly correlate that forward but we have to see how it goes. We are certainly seeing is that the collateral values are improving and but we think it's appropriately to retain strong coverage ratios and you will see we are about to enhance some of the coverage ratios for the loan mortgage portfolios.
Unidentified Analyst: Three questions please, just on UK intermediary you have talked about obviously broadening the platform for a distribution in 2014, should we expect that to be further broaden this year and in terms of the amount of the intermediary amount market how much the target to be distributing through in total. On cost income obviously you’ve 50% cost income ratio target. Would it be fair to say that from here it's income growth that will drive the achievements of that target and finally on return on equity obviously we have seen guidance from a number of European banks downwards under returns. Where is your thoughts on both the timeline to achieve ROE and what you might look to achieve in a normalized environment?
Richie Boucher: I think on the distribution, we entered the new arrangements during 2014 and the second half of the year. The partners we pick are they pick us and we pick them, it's very important that I think one of the advantages that we bring is that we have been in that business for a long, long time, we were just temporarily out of it and we have a good track record of underwriting. We provide great clarity to the distributors as the type of mortgage we’re looking for the mix, what our pricing aspirations are and the credit quality. So we have good relationships with the distributors that it wasn’t just legal general, with going some further partners last year and we will continue to look to expand that. But I think we would like to broadly have the current mix, the post office and the origination through the post office channel, directed through the post office channel is obviously very important to us and to our partner and so we would continue to look at a broad mix there. And yes the diversification of how we originate I think it's very important for our UK strategy, it all comes into the same underwriting platform and will price the same way but if we entered into an arrangement with someone we’re very keen that we meet all sides of ours and that includes the timelines in which we process it. Like we said we invested very heavily in the MMR and that would have been a feature of probably a slower performance in the last quarter of 2013 but we want to make sure we’re ready and I think that has proved to be a wise decision. On the cost income ratio, I mean we have given our broad guidance of where it is today, I think Chris mentioned and Andrew is keen to bring to people's attention that there will be some money will be going towards the guarantee and resolution funds in Europe and we will try to quantify that, but if we look at the cost in particular that are within our control. I would anticipate that broadly where we’re today is broadly what people should think about as an absolute base and we are continuing to see efficiencies but we’re using that efficiencies to generate back into the business. We’re seeing some wage growth, we entered into a negotiated with the trade unions last year. So we have fixed the generic pay around for 2015 as well as getting both sides doing well from the negotiations in terms of our career framework we have achieved there and the payment that we made for that which we thought was good value for the company. And so I think I wouldn’t anticipate that we made a dramatic move in the absolute number of the cost base and so it will be efficiencies and then it will be recycled into investment because they are good opportunities for which to invest and then we have confidence in the revenue growth from here. And on the ROE, while hopefully we’re try really hard to give people as much help as we can. We target what our capital buffer is going to be, we try to think what's going to happen in the balance sheet. I’ve just said what I think is going to happen in the cost. We’re trying to give you good guidance on the margins and we think that our non-interest income is sustainable, it's diversified and we anticipating some further growth.
Andrew Keating: There is no sense of complacency, but I think having a positive ROE this year for the first time in six years, we still have more to go in terms of trying to achieve our ambition in that regard.
Richie Boucher: If we look at our business, we’re trying to make it a simple business as possible have the advanced diversification but in very chosen areas and that’s appropriately from a regulatory point of view in terms of penalties [ph] etcetera, and the regulators I think will be spending 2015 with a big focus in business model. Again our business model is very understandable and explainable one and particularly how we fund ourselves and funding is an important part of that and our alliance in also funding is low and very manageable and we’re just in our own minds wholesale funding is being against the liquid asset portfolio and so yes I think it's a - we take into account all the things that all belongs - both economic and regulatory capital. But we believe that when we get the preference shares then a retail commercially focused, diversified bank should be an income stock overall.
Unidentified Analyst: Just two questions on the Irish mortgages, despite the very strong growth last year, new lending, I mean it did lag market just one, what you say is your natural market of new lending in the Irish mortgage market? And then secondly with signs of increased competition in this space what do you think that implies for [Technical Difficulty] front book and the back book.
Richie Boucher: Well if we look at the market as a whole there is a couple of features, first of all we’re coming off of a very high base. We had 40% of the market in 2013, we never anticipated it that it would come through. We did one three so it's around about 32% 33% in 2014, we started 2015 strong, we were required to exit the ICS business but again that wouldn’t have been big feature in our 2014 numbers and probably not that big a feature in 2013 because we knew what was happening and our model of looking in Ireland [Technical Difficulty] whether that’s maintained. How we think about these things always like, in our own minds is risk margin and volume. So we would never trade volume or margin or risk. We don’t mind, a lot of people pursue some pricing strategies for a certain period of time, we see how long that model would last and we look at the returns we’re getting and we think we’re appropriate returns, you would have seen we put a focus in particular on our office very much about the fixed rate and we would have done about 30% of our new business last year, it would have been of 2013 it would have been fixed rate and about 45% in 2014 is fixed rate. The fixed rates is very important for our customer, it gives them certainty and it's much more attractive now to the customers as the year curve has flattened out so much. You know they are not forgoing as much in cost or potential for certainty and obviously from the benefit to us is that we can buy the money, we know exactly what's it going to cost and we can lock in our margins that way. And so therefore you’ve seen we have put a focus on attractive fixed rates which work for both our customers and ourselves.
Andrew Keating: Maybe as thinking about that competition, a lot of our focus and the focus of our colleagues in that market has been very much on developing the propositions that have proven to be very helpful to our customers. So whether it's we have a 24 hour promise where people can get a bold [ph] decision in a very quick time frame whether it's the investment in terms of the house center type mortgage which is very helpful in a market where 50% of the transactions are for cash, like given people the certainty about the amount of money that they can go ahead and purchase a home with that gives them better capability to compete in that type of market in terms of acquiring the type of homes they are looking for and of course our stamp duty offer has proven to be very popular with our customers and that’s been extended for a further 12 months. So from our perspective the competition if you like is much about the surface as anything else and that’s where we have put some of our investments in terms of trying to be available to our customers but it's at the begin - but it's in the mobile mortgage manager channel etcetera and that’s proven to be very helpful to us in terms of achieving our ambition in terms of loan volume.
Richie Boucher: I think in Ireland in particular I mean perverse as it may sound, we welcome competition because we have had a market which has lacked other players in the market. We can't do anything, we don’t want to do everything in the market. We have in our own mind natural market shares that we should go for because once we go over - we just would wonder in our minds of we’re trading price and risk of volume. So we have in our minds if we think it is and it is going to be generated of our customer base as we really what we think about in Ireland. I think the other feature is like consistent regulation, consistent level even handed regulation. We like working in those markets, we can manage well in those markets. We saw the Central Bank bringing in the macro-prudential guidelines and our submission was very public and we said that getting to 80% is not a problem for us and we think it's an appropriate thing. We suggested phasing the Central Bank in a slightly different way but we were quite comfortable where it is going in terms of our risk appetite, pricing etcetera and the investments we’re making in our proposition. So it's a good business for us to be in. I might just see if there is any questions on the line.
Operator: Our next question from the telephone is follow-up question from David Lock of Deutsche Bank. Please go ahead.
David Lock: Just a very quick follow-up on Chris's question earlier on the UK SVR but I just wanted to make sure I didn’t mishear it, you’re saying the SVR is 4.5% in the UK that you’re working on retention strategies there and that the turnover in the portfolio is reflected in your NIM guidance above the 222 bps. But then you said that you would still see asset margins increasing, I see that’s the group rather than the UK because I can't be--
Richie Boucher: At the group level, so take in, but UK mortgages are a material part of our volumes but at a group level we have anticipated, you can never be absolutely accurate but we have been reasonably good over the past couple of years as we are anticipating where our asset trend are - asset and our liability margins are going to be.
Andrew Keating: I think at an overall level David, we talked about the €10 billion of new lending last year and obviously we set out that we anticipate our ability to be able to deliver growth on that level as we go into 2015 and in terms of the redemptions clearly, some of the redemptions are coming off historic low margin levels as compared with the attractive margins we’re achieving on the new assets that we’re originating both in 2014 and as we go into 2014. So that will have a positive impact at a growth level.
Andrew Keating: I think we’re finished on the call. Is there any further questions here in Dublin?